Operator: Good day, ladies and gentlemen, and welcome to the 2U, Inc. 2017 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today's conference, Mr. Ed Goodwin, Vice President of Investor Relations. Sir, your line is open.
Ed Goodwin: Thank you, operator. Good afternoon, everyone, and welcome to 2U Third Quarter 2017 Earnings Conference Call. By now, you should have received a copy of the earnings release for the company's third quarter 2017 results. If you have not, a copy is available on our website, investor.2u.com. The recorded webcast of this call will be available in the Investor Relations section of our website. Also, we routinely post announcements and information on our website, which we encourage you to access and make use of. Today's speakers are Chip Paucek, CEO and Co-Founder; and Cathy Graham, CFO. During today's call, we may make forward-looking statements, including statements regarding the company's future financial and operating results, future market conditions and the plans and objectives of management for future operations. These forward-looking statements are not historical facts but rather are based on our current expectations and beliefs and are based on information currently available to us. The outcome of the events described in these forward-looking statements is subject to known and unknown risks and uncertainties that could cause actual results to differ materially from the results anticipated by these forward-looking statements. This includes, but is not limited to, those risks contained in the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31, 2016, and other reports filed with the SEC. All information provided in this call is as of today. Except as required by law, we undertake no obligation to update publicly any forward-looking statements made on this call to conform to statements or actual results or changes in our expectations. Also, it is 2U's policy not to update our financial guidance other than in public communications. Non-GAAP financial measures discussed during this call are reconciled to the most directly comparable GAAP measures in the tables attached to our press release. I would now like to turn the call over to Chip.
Christopher Paucek: Thanks, Eddie. We've now delivered our 15th quarter of financial results as a public company. In the third quarter, we again performed well against all of our expectations. We are at or above the high end of our guidance ranges for revenue and each of our earnings metrics. Revenue was $70.3 million or 35% improvement year-over-year, with 27% of this increase coming from our program segment. Adjusted EBITDA loss was $3.7 million, and while this was a greater loss year-over-year and was at the top end of our guidance and primarily related to the GetSmarter acquisition. More importantly, we successfully closed our acquisition of GetSmarter on July 1, and both teams have hit the ground running. Strategically, we are a stronger, more complete company. Our 2 product lines, Graduate Programs and Short Courses, each of attributes you find in the world's best digital education, high attention, people-mediated technology platforms and even in-person experiences. Both products offer the type of overall value you'd see in high-quality campus program. And as which said in the past, this is a story of and rather than or. Newer credentials are clearly part of the present and future by the power of the continues to be strong and in high demand. We love the strategic rationale, but the powers are already showing up in our guidance. Our expectations in our core business have not changed, with the DGP business showing revenue growth at or slightly above 30% for 2018 and accelerating into 2019. But GetSmarter adds an enviable new growth engine to this strong base big. Our preliminary 2018 consolidated view is 38% to 39% revenue growth over 2017. We believe our financial success is driven by a very simple formula. When students win, universities been. And when universities win, 2U win. We're winning because we're executing for our clients and makes me incredibly proud to hear them saying. Take this headline from a November 1 article in the Vanderbilt News quote "Success of Peabody programs inspires exploration of future online opportunities" The Vanderbilt DGP classes with an initial cohort of 43 students, and the school said it expected enrollment to grow significantly next year. The incremental commented Peabody is rolled out its online programs rapidly since they were announced, and we've been very pleased by the number, quality and diversity of the students applied and enrolled. Now Vanderbilt is already discussing expanding its online offerings. In the article, for Digital Learning John said we're really scratched the surface of the opportunities that lie within the online classroom. The success of the 2-degree programs at Peabody represents a strong on Vanderbilt's practice of investigation of educational technology. So, Vanderbilt students are winning, Vanderbilts winning and that's how 2U min. While the foreman a simple, it's not at all easy or easy to replicate. It takes a deep investment and a commitment to quality across the end-to-end product and in many parts of 2U. But to get there, the end-to-end model offers a strength of outcomes and financial strength that the simple fee-for-service models our low-cost models can deliver. Whether it be in person experiences, clinical placements at scale, accessibility for those in need, data-driven marketing scale or even machine learning deployed throughout the business, our competitors simply can't compete. Over the years, we've got lots of questions about what the 2U end-to-end models means financially to our universities. So, at our Investor Day on October 5, we took the time to show you a model of what they really of the financial impact of partnering with 2U should have on the university side. For an average 2U program, at steady state, the delivered to the university should be larger on a dollar-for-dollar basis than the adjusted EBITDA generated by 2U. After we share that model, severed, the 13th of Syracuse University joined me on stage for a fireside chat. I'm still thankful took the from Syracuse to join us at our Investor Day. During our fireside, not only had concurred with the model we presented, but set the overall value the is actually much greater than the university surplus. As reminder, Syracuse has 6 2U powered DGPs. So, let me quote for a second "I know you're interested in the financials and I thought this was actually pretty transparent presentation you just saw about the financials. It's accurate in terms of Syracuse's experience. We get not just the 40% in revenue, we get the investment of a large fraction of the 60% in the things we can't and probably shouldn't be doing because it's not our area of special expertise. So, we get the marketing, the IT support, the development, the working with our faculty that we get through this plan." So yes, we are delivering real financial impact for our partners, but why does it matter? Well, addressed that also. He the fireside chat with an emotional story from his childhood that hit home to everyone in the room. He grew up in Rochester, New York, which was home of the Kodak company let me quote again here. "so, when I look at the hundreds of beautiful college campuses around this country in the world, I see some Kodak parts. Kodak Park today is by no way is a field of ruble. If you haven't been to my hometown, you should visit it. So as a steward of what is a great University, when I look out over what looks like Kodak Park, I have to ask myself, are we still invested in chemistry that we're going to ignore where education is going or could go and be disrupted? Without Syracuse University, there isn't much left in Syracuse, so I feel this obligation to have entity the changes enough, to scale up and be bigger and impact. And so far, 2U is really helping us do that. We're approaching 2,000 full-time students from 2U programs, which is a very significant part of our enrollment." The 2U end-to-end model is driving real value for our partners this is new universities choose to partner with us. This is why existing partners continue to add new programs. This is why we're taking over programs that were previously do-it-yourself or even some that are powered by competitors. This is why we continue to step up our launch targets. 2U is no longer a missionary sale. Pipeline has simply never looked this good. Let's look at where we stand for the next 2 years. We originally targeted launching 12 new programs in 2018, last year we raised that target to 13 programs. At Investor Day, we announced that all 13 slots have been filled. We discussed 12 of the 13 on our last call. And at Investor Day, we announced that the Yale PA Program has been approved by body and will be the 13th DGP, with classes beginning quite quickly, January 2018. So just a moment to talk about Yale. I think most of you thought this would never happen. It has been a heck of a journey, but we believed in the importance of the discipline, position system jobs are projected to grow from 37.4% from 2016 to 2026 according to the U.S. Bureau of Labor Statistics. And we believe that Yale was the partner to show the accrediting body that it's possible to deliver a high-quality program that blends the physical and the digital. So, we invested heavily upfront to show the quality of the program that didn't exist yet. We built courses, I've even seen the photo shoots to prove it. Go for that the cadaver and the person dissecting the cadaver, you can ask you about that later. We had to prove upfront that we can deliver clinical placements. We're asked to deliver 480, we delivered 2,276. All at the risk, all without a guarantee. Now I want to give a quick shout out to our placement specialist, Alley, who led this effort. And by the way, she just got married. Congrats, But I believe this will have a profound impact on medical education and I give credit to Yale's for persevering. Jim Battery, Richard Lipsky, Lucas Swineford, Linda Warmer, Bob Those are the names of some of the folks that resisted the temptation to give up, and instead, did the hard work of leading change. They even have the confidence to add to the contract, given the upfront investment required. We have 13 years from program launch in January. So, took us up to 13 DGPs for 2018, but due to university demand, we've now increased the 2018 launch cohort to 14 programs. We expect to announce the final program before the end of the year. Think about that timing folks, we're well ahead. And we're not stopping there. We're now actively filling the 2019 cohort, which is targeted 16 programs. I'm very happy to tell you that we think we can name them all today and they're all being fully negotiated as we speak. We've already announced the first program for this cohort, slotted for January 2019. We will partner with our fifth school at USC, the price school public policy for our record seventh DGP with USC, suite of degree in the public administration vertical. The 2 degrees in this DGP are a Master of Urban Planning and a Master of Public Policy. So, 2019 is going really well, we expect to hear announcements soon. Between now and the end of 2017, we expect to announce some new DGPs and some new short course partners, it's all coming faster than in the past and we're ready for it. From 16 programs in 2019, we them step up to at least 19 programs in 2020. Let me put this ramp into perspective. At the end of 2016, we have launched a total of 24 DGPs. By the end of 2020, we're targeting to more than triple that number. We believe that this step up in our annual program launch targets will help deliver 30-plus% revenue growth in the core business for the foreseeable future. As Cathy discussed at Investor Day, we believe that revenue growth will stay at or just slightly above 30% in 2018 due to the back-end nature of the recent cohort launches, coupled with inherent early programs scaling dynamics. But once we get through 2018, we expect the program launch increases and shift in mix to MTV programs will lead to acceleration of BGP revenue growth in 2019 and then an additional acceleration in 2020. The domestic graduate opportunity is huge, but it's a big world out there. We're the leader in digital education and we have no intention of giving that up. As we discussed extensively at Investor Day, we think the growth opportunity in the short course market is significant. GetSmarter gives to 2U an additional growth engine with a faster flywheel. GetSmarter's growth formula is straightforward: continue to add global legends, add current 2U partners and expand the course portfolio at existing partners. Now Cathy will discuss our financial results in more detail, give guidance for Q4 and full year 2017 and give a detailed preliminary look into 2018, which by the way, you're going to like. She's dressed in purple, her favorite color, and ready to go. Take it away, Ms. Graham.
Catherine Graham: Thank you, Chip. Once again, 2U delivered against its financial expectations for the third quarter, reporting revenue that came in strongly ahead of guidance. At $70.3 million, third quarter revenue exceeded the comparable 2016 period by 35%. In our graduate programs business, revenue grew 27% year-over-year, with the remainder of the quarter's revenue growth coming from the addition of short course revenue from our newly acquired subsidiary, GetSmarter. With respect to the short course revenue, I want to remind you of two things we told you on our last call. First, we expected short course revenue in the third quarter to be relatively low, about half of our expectation for fourth quarter short course revenue. This is because of significantly majority of the expected second half short course revenue is related to new courses being launched in the late third and fourth quarters. And second, a portion of GetSmarter's deferred revenue balance at June 30 was eliminated in purchase accounting and was not run through the P&L. As a standalone company, GetSmarter would have recognized approximately $700,000 of additional revenue in the third quarter. Please keep these points in mind when thinking about the size or the short course business and the trajectory of that revenue moving into 2018. In our graduate program business, revenue growth continued to be driven primarily by an increase in full course equivalent. For the third quarter, we had over 24,000 graduate program FCEs at an average revenue per FCE of $2,740. Compared to the prior year period, third quarter FCEs for this business line increased by 26%, while average revenue per FCE increased by 1%. We've also provided FCEs and average revenue per FCE for our new short course business. For the third quarter, we had almost 4,100 short course FCEs at an average revenue per FCE of $1,232. Third quarter course offerings were largely with South African universities, which carry a lower per course price than those from the U.S. and U.K. get the just. You should expect to see average revenue per short course FCE increase in the fourth quarter, as higher priced U.S. and U.K. university courses start launching. Note that for the third quarter, we calculated average revenue per FCE for the short course business as though the approximately $700,000 in revenue eliminated in purchase accounting have been recognized. We believe that this provides a picture of the volume-price relationship for this business segment, as well as providing the proper basis for comparison and trend analysis moving forward. Before we move to our loss results for the quarter, I want to remind you that we've added a new cost line in our P&L called curriculum and teaching. This line captures short course costs with a rise from differences between our graduate program and Short Course business models. In our short course business, students enroll with and pay tuition directly to us and we recognize the full amount of tuition as revenue. We then pay the university clients their share upon course completion, and that expense is reflected in curriculum and teaching. Additionally, we compensate that university approved course tutors who interact directly with students during these short courses. These costs are also reflected in the curriculum and teaching cost category. At $3.7 million, $7.4 million and $14.7 million, respectively, third quarter adjusted EBITDA loss, adjusted net loss and net loss, all came in at or above the high end of our guidance ranges, but all expanded year-over-year. Adjusted EBITDA loss expanded by $3.5 million compared to the same quarter of 2016, due to the inclusion of our new short course business. The low third quarter short course revenue we described above, combined with a ramp-up of marketing and other operating cost to support upcoming course launches, drove the quarter's adjusted EBITDA loss expansion. Adjusted net loss expanded by $4.7 million year-over-year. In addition to the short course operating factors that drove adjusted EBITDA loss expansion, third quarter adjusted net loss also expanded because of expected and previously discussed additional depreciation expense related to the buildout of both our headquarters facility in Maryland and additional floors in our Denver office. These expenses were offset somewhat by operating-related tax benefits generated in our Short Course business. At $14.7 million, third quarter net loss expanded by $7.9 million over the prior year period. In addition to the factors that drove adjusted net loss expansion, third quarter net loss also expanded because of expected and previously discussed increase in stock compensation expense related to our growth and where we are in our vesting scheduled the additional stock compensation related to we make to GetSmarter management in conjunction with acquisition and the amortization of acquired intangible assets resulting from the acquisition. These expenses were offset somewhat by operating-related tax benefits generated in our Short Course business and acquisition-related tax benefits generating as a result of our acquisition of GetSmarter. From a balance sheet perspective, we ended the third quarter with $202.4 million in cash. This balance reflects third quarter activity, including both the use of $97.1 million in cash for the purchase of GetSmarter, and the additional of $189.9 million in growth proceeds from the sale of common stock in our September follow-on offering. Our quarter-end balance sheet also reflects $42.3 million in receivables balances. This is driven by our graduate programs business, which, as you'll recall, all would have a high receivable balance at third quarter and because of the timing of fall academic term starts. Other notable changes to our balance sheet in the third quarter to include additional of goodwill and the net deferred tax liability, all related to the purchase accounting for the GetSmarter acquisition. I'll further remind you that the $3.5 million in deferred government grant obligations represent the state and county incentives we received earlier this year in conjunction with occupying our new headquarters building. These obligations, along with any incurred interest on them will be forgiven if we hit certain job growth targets over multiple years and otherwise, comply with the terms of the respective agreements. Now looking forward, we've provided guidance for the fourth quarter and increased guidance for full year 2017. We now expect revenue to be between $84.6 million and $85.6 million for the fourth quarter and are increasing our full year guidance to between $284.7 million and $285.7 million. At their midpoint, these ranges represent year-over-year revenue growth of 48% for the quarter and 39% for the year. Looking at earnings measures for the fourth quarter, we expect net income or loss of between a net loss of $600,000 and net income of $100,000. At the midpoint of this range, as a percentage of the midpoint of our revenue guidance, it implies margin improvement of 4 percentage points over the fourth quarter of 2016. We're also expecting fourth quarter positive adjusted net income of between $7.3 million and $8 million. At the midpoint of this range as a percentage of the midpoint of our revenue guidance, it implies margin improvement of 5 percentage points compared to the same quarter of 2016. Adjusted EBITDA for the fourth quarter is not expected to be positive at between $11.8 million and $12.5 million. At the midpoint of this and our first quarter revenue ranges, this implies a 14% adjusted EBITDA margin, 6 percentage points better than our margin in the same quarter of last year. With respect to our fourth quarter earnings measures, let me remind you that in both our graduate program and Short Course businesses, we reduced our marketing activities during the year and holiday period, so fourth quarter margins typically increased. Fourth quarter margin should not be viewed as a run rate going into the early quarters of 2018. With respect to our overall fourth quarter expectations, you'll note that we're holding guidance in line with what was implied during our last call. Remember that in the second half of the year, we typically have significant revenue visibility into the graduate program segment, which makes up the majority of our business. Given this, we would not expect significant changes to the guidance going into the fourth quarter. Further, we already know that we have about $250 in unanticipated revenue downside in graduate programs during the fourth quarter from a higher level of deferrals and leave of absences by students who were impacted by Hurricanes Harvey and Irma. This largely offsets any revenue upside we might otherwise have anticipated. Looking at full year earnings measures. We now expect net loss and adjusted net loss in the ranges of $30.6 million to $29.9 million and $4.9 million to $4.2 million, respectively. Taking the midpoint of these ranges as a percentage of the midpoint of our 2017 revenue guidance, it implies a 1 percentage point decline in net loss margin and a 1 percentage point improvement in adjusted net loss margin over full year 2016. We're now expecting a positive adjusted EBITDA between $10.5 million and $11.2 million for the full year, which is the midpoint of this. And our full year revenue range implies a 4% adjusted EBITDA margin. This represents a 2 percentage point improvement over the adjusted EBITDA margin for 2016. Now as we approach the end of the year, and though we have not completed our budget cycle, we'd like to give you a first look at our expectations for 2018. Before we talk specifics, I'd like to remind you of a couple of directional statements we've already made. First, we've told you that in 2018, year-over-year revenue growth for our program segment should be at or just slightly above 30% before accelerating in 2019. This implies that revenue growth above this 30% or so marked for 2018 is the result of the addition of short course revenue. And second, we told you to expect that 2018 adjusted EBITDA margins in our graduate programs business will remain relatively flat to 2017's margin for that segment. For full year 2018, we're currently expecting revenue growth of between 38% and 39% over full year 2017. We expect that a greater-than-typical percentage of this revenue will be recognized in the second half of the year because of both the ramp-up of 2018 graduate programs that launched earlier in the year and the addition of short course revenue that we expect to accelerate later in the year. The back-end waiting of short course revenue is largely driven by 2 factors: first, agreements with several university clients require that their short courses launch in late 2017 undergo a standard review proceed - process after the first presentation. This delays additional presentations of these courses until first or second quarter 2018. And second, there are quite a few additional new course launches anticipated during 2018, but given scheduling and lead times, a number of them are targeted for midyear or beyond. We're now expecting that for full year 2018, we will generate a net loss margin of between 11.6% and 11% and adjusted net loss margin of between 1.9% and 1.4%, and a positive adjusted EBITDA margin of between 3.8% and 4.3%. Note that in the second quarter, we typically incur a disproportionate amount of annual costs that reduce our earnings measures related to meetings, trainings, graduations and other periodic events in our graduate program business. Conversely, we typically reduce our marketing cost during the year-end holiday period in both our business lines, which increases earnings measures in the fourth quarter. However, because of the investments we're making in both launching and scaling graduate programs earlier in the year, and because we anticipate launching a meaningful number of new short courses in the mid- to late year, we're anticipating significant differences in our margins between the first and second halves of 2018. Given that our margin patterns are expected to vary significantly from prior years, we have given you a fair amount of detail about how we expect our loss and earnings measures to be distributed across the year. I encourage you to read this section of our earnings release carefully in order to understand how we believe 2018 will unfold. And finally, as I last word on our forward-looking expectations, I want to remind you that we are in the early stages of integrating the GetSmarter acquisition and scaling what is still a relatively early stage short course business. For the remainder of 2017 and for 2018, our short course financial results will remain highly sensitive to the performance of new courses in their first or second presentations. By definition, early presentations of new courses have the least certainty around student enrollment, and therefore, revenue and margins. Please give us some time to see how these early course presentations will perform and don't immediately assume that revenue and margin results will come in at the top end of their ranges. But despite that cautionary note, we remain very excited about both our graduate program and Short Course businesses. The synergies we now see both in cross-selling opportunities and potential operating efficiencies, reinforce our belief that the GetSmarter acquisition can create real value for the combined company. We look forward to having you on this journey with us as we finish out this year and move through 2018. Chip?
Christopher Paucek: Thanks, Cathy. I'd like to close this call discussing my recent trip to Cape Town. Last week, I visited GetSmarter with a few of the 2U's functional heads to work on the integration efforts we discussed with you at Investor Day. That went well, and I can only even more confident in our joint success. But more importantly, the integration meetings time I spent with over 300 people at GetSmarter. During my time with that team, one of the GetSmarter values is unfold display. Play to win. My belief is we acquired a company that's transformative to the higher education space. GetSmarter is indeed playing to win on a global basis. Congrats to Sam, Rob, the Expo and the over 300 incredible South Africans in Cape Town changing the face of higher education. There's a South African term called gees [ph]. It means bringing the good spirit, good vibes and the energy. I love this integration and the opportunity it presents. By the way, that's spelled G-E-E-S for the transcript. Play to win indeed. And with that, I'm now open to receive your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Michael Nemeroff with Credit Suisse. Your line is open.
Michael Nemeroff: Okay, great. Thanks, guys. Congratulations on anther fantastic quarter. Just curious, how much of the increase in the guidance in 2018 is actually coming from GetSmarter? Is it all GetSmarter, that increase? And then also related to GetSmarter. Last quarter, you weren't 100% confident in guiding on the sustainability of that revenue and the contributions. Can you give us an update 3 months later about how you feel that doing it now? And then one on the full-time course equivalent metric, it looks like we're seeing a little bit decel [ph] there. Can you tell us why you shouldn't be concerned about that longer term? Thanks.
Christopher Paucek: Okay. Thanks, Michael. So first, I would say given that we've spent a fair amount of time talking about our DGP business being at or above 30 - at or right above 30 for 2018, it's reasonable to presume that the increase comes from GetSmarter. We feel very confident in their growth trajectory. We do think that we were already a very good growth story, and it is clear that GetSmarter really does substantially increase the TAM of the company and a sort of both opportunities worldwide and I think that represented in 38% to 39% revenue guide for next year, so we're pretty psyched about that. In terms of the other attributes of GetSmarter, I just want to remind everybody, its still's very early, we're in heavy integration and we're not at a point yet where we're - that where we can talk about sort of unit economics or the long-term margin profile. But I will tell you, as we do believe that there's real margin in that business and we really like what we think that means for us long-term, as the company's come together and you start to get more of the benefit from things like a very large shared marketing funnel, just one example of something that we think would be pretty profound the margin impact long-term. And then I'll pass it over to Cathy for the FCE question.
Catherine Graham: Yes. So, on FCEs, when we talk about the fact that FCEs in the graduate program business are - or that revenue growth in graduate program business is going to be at or just slightly above 30%, and we've told you that, that's sort of will ramp up further in the back of the year. Almost by definition, some quarters are going to have to be lower and some quarters will have to be higher. And that, frankly, is a pattern that we've seen related to revenue over the past couple of years as well. So, we don't have any concerns around that. It is - there's timing of FCEs versus revenue growth, and we're confident that those two will track, if you look at it over the period of a number of quarters.
Michael Nemeroff: Okay, great. Thanks very much for taking the questions.
Christopher Paucek: No problem, Mike.
Operator: And our next question comes from the line of Brian Schwartz with Oppenheimer. Your line is open.
Brian Schwartz: Yeah, hi. Thanks for taking my questions. Congratulations on another great quarter for the business. Chip, wanted to ask you a question just about kind of the future of the investments, strategy, really the enablement of combining the short course, the value proposition of the short courses with the DGP offerings. And I'm just wondering if that has even started today in your conversations with your pipeline and the future opportunities. Or if you could maybe bring us up to speed on maybe the duration of how long you think the enablement will take to combine the sales, motions, where 2U as a business will be able to go in and really offer these 2 value propositions that we think are unique in the market today?
Christopher Paucek: So, I'd say, Brian, the one of the things I'm most pleased about, not surprised by, but pleased by is how well the teams are working together. So, there are definitely similar cultures, even though we're sort of an ocean away from each other. They are long way from us. But the teams are working really well together. One of the places where that's now evident is on the pipeline. It is very clear that the pipeline will go both directions, without a doubt. I mean, very obvious at this point. We feel pretty strongly that the 2U clients will have some announcements soon about 2U taking up short courses and vice versa. So, I would argue that we - it's early days. But there's no question that when we talk about being a more comprehensive solution for our clients. Having a stronger product assortment where why would somebody go to somebody else if we've got both short courses, we really don't have an answer the short course piece, so we think that's very real. And at this point, now our marketing teams are working very closely. So, you might have seen at Investor Day, the somewhat love fest between Harsh and Ryan, the two various - the CMOs between the two companies. We feel very strongly that's like real, that's showing up now in how we're actually - like what we're actually executing on a daily basis that investors wouldn't be able to see. So - and then I would just close by - it's exciting for me to see GetSmarter increase our guidance for next year and show that kind of 39% revenue growth guidance, that's great. But this is really a story for the future - we didn't do this to make you guys happy. We did it because it's all about 2U being the world's leader in digital education. And ultimately, that's what this is about that. So, we are in more complete company that serve students and universities better, whether it be long-term degree curtailment or something like the LPA or it be short course in Fintech, they're both pretty important, so.
Brian Schwartz: Chip, that's great lead into my second and final question, just want to ask you again, here about the future and about the business. So, you got a unique business here in terms of the predictability that you got very high revenue creditability here for the next couple of years. And we you have set the guidance, you have the business, accelerate in the top line next year, whether that's with the GetSmarter. But if we think about the year after in '19, there's good odds that the business is going to continue to reaccelerate. So, the question I want to ask you about that is I'm a software analyst for technology analysts, and usually, when we see businesses accelerating in a category we want them to increase the investment profile to really capitalize on what's happening in the business. So, can you talk about how you think about how you think about that, investment profile and the opportunity and just managing its accelerating growth while also showing improving profitability? Thanks, Chip.
Christopher Paucek: I'd love the use the presumptive close in there. So, I would say that you are correct that we have continued to accelerate the business. We've done it because of demand and because we're having a huge impact on many people's lives. What we're looking for is institutional wealth from these global legends, meaning the market opportunity, whether there's a great program that has the potential to be transformative online and to be able to a good business for both sides of the equation, which is one of the reasons why were pretty happy about the Investor Day section on the significant side at something that certainly we've about from the and we ever really explained it fully, and that's why we did it in this call. So, is it possible that we see additional acceleration long term? Sure, it is, but we're just not willing to do that yet. I think 2U is build a business that has good bones, and one of the reasons it has good bones is we don't sort of try to make sure that we're doing the right thing along the way, which includes investment. So as an example, we were told you all Investor Day that margins were not going to continue to expand year-on-year, the reason for that is we had to continue to invest in whether it be our academic product, which is when we say product, you think about is a little piece, not just a broad assortment of both technology and services we provide to our clients, or things like our team. So, whether it be the addition of Rani Hammond, our Chief People Officer, or David our Chief Communications Officer, like all of this at this pieces continue to add bandwidth. And that won't stop. We have to continue to do that as we scale. So, for now we're very comfortable with where we are, which is 14 programs for 2018 and 16 for 2019. If you look at the transcript, I did say at least, so that's maybe a little bit of a hint.
Operator: And our next question comes from the line of Jeff Meuler with Baird.
Jeff Meuler: So, you give us most of the pieces, but not all to get pretty good estimates for the short course quarterly revenue and it looks to imply a pretty big number in the back half. I guess, it was and is any callouts in terms of seasonality to be considering or anything anomalous implied for the second half. Because the way I'm hearing you describe it, just like the anomalies more in the first half and those big back half quarterly numbers are more true run rate type numbers.
Christopher Paucek: But what, I would say, Jeff, is that the number, just think about like look at University Cape Town, not that we understand this business more fully. Out of the 70-plus courses that GetSmarter runs today, 50 are with UCT. So, you're talking about the one school that they've really has a long history with and there's a lot of courses. So, there is a very large number of courses that are possible, like within the world of possible, if you look at our programs selection algorithm, from our data science team, that's really important selecting programs. The same thing applies to courses, there's a large number of courses that we could run over time, and when you run them, #1, you have to get them up and running, which means any in the team at GetSmarter the courses have to do them - people actually have to do stuff; it's not just waving a magic wand the we're going to have a bunch of courses, people have to build them, and that takes if you do it they have to them over time. And then as they build them, they run them for the first time, they have the pause and review them to make sure that everything is going really well because the secret of both GetSmarter and 2U it's really, really high course completion or an arc degree completion. So that's only going to get there if they have quality. So ultimately, I think it's really important that you remember that they're just a very early source page of their life cycle. And now I will tell you that year-on-year, from Q1 to Q1, it's still pretty impressive because that's they're scaling so it's going to take time for it to show up in the numbers. You want to add anything?
Catherine Graham: Let me just add a few things, which is I think that while I wouldn't use the word seasonality because I think it is too early to kind of attribute the seasonal pattern to the GetSmarter and short course revenue, I think you're correct in saying that as you move towards the back half of the year as they start to pick up a more normalized and we hope that, that then will, as we get going forward, we'll move into - will start of even sort of refine itself. We know we gave, a lot of detail around the 2018 numbers work but we - when we looked at this, what we said was the patterns that we are going to see here next year that we expect are really so different from what we've showed you in the past, and they're different between the first half and the second half and even, in some cases, between the quarters in the first half and the second half, that we wanted to give you more directionality to try and help you get those things right, and we'll be able to refine them as we go on. But our hope is as we get those back then of Italy, and then at the company into a bit more of
Jeff Meuler: And then just I guess, given the continued expansion of the USC partnership throughout the data point about the breath of SKUs on the calls, the commoners looking at expanding, this is of other examples, are you thinking any differently about - as you look to sign a new partner program, just how important it is - the breath of the opportunity at university when you're signing one particular your program as you think about the programs selection And what program at what university you want to target?
Christopher Paucek: So, there's no uniformity of opinion at all of these schools, they're all very complex organizations I thought can't another think as being of Syracuse [ph] was sort of being the President of the European Union. It's a very environment. I do think the notion of one sort of offering of any kind of across the university is tricky. With that said, when we are identifying programs, without question, we're looking at great brands that have great leaders that are willing to do the hard work that will be required to sort of lean in and do this the hard way, which is really what working with 2U is. It's not easy to lead change in this way. We also think there's a big market opportunity is as you know, Jeff, the regional bias is real. And without question my finding rates goes like a sort of Denver or at Vanderbilt or all of these different university but to now seen us launch, the geography is also part of the story.
Operator: And our next question comes from the line of Corey Greendale of First Analysis.
Corey Greendale: At this program with USC. So, I visit a little on the longer term I just want to go back to the question about the short course programs, I have a shorter-term question about those. In Q3, in the cordons reported, did the DGP and short course segments both performed as expected within the broader results?
Christopher Paucek: Did the DGP - that again for me, Corey?
Corey Greendale: In would quarter overall, just wondering if it at each segment, if each segment performed according to your expectations?
Catherine Graham: So, Corey, in the third quarter, yes, they largely performed relative to what we expected. We are, if you look at the second half overall, we are still in the process of making some resource allocation decisions around where we put some money in the fourth quarter. But you'll note that for the fourth quarter - for the second half of the year, in our full year expectations overall, we have kept them largely where we anticipated that they would be unexpected will be regardless of some of these resource allocations, things that we may switch around.
Corey Greendale: In Q4, was there expect the revenue per FCE in the short course business to increase as you get more U.S. or non-South Africa exposure?
Catherine Graham: You should. The course - you remember that we said that the fourth quarter should be specific sort of more than double third quarter results from a revenue standpoint, and the largest reason behind that is actually launches of U.K. and U.S. programs, which are priced more highly.
Corey Greendale: So, it's not a big hockey stick in the FCEs from Q3 to Q4. It's more mix?
Catherine Graham: It's a combination. There will be an increase in FCEs, but there will also be in a combination - increase in average revenue per FCE. So that price is mixed, but it will still drive an increase in FCE.
Christopher Paucek: That might be giving on the price per FCE for their domestic clients versus the...
Catherine Graham: Sure, so you'll remember when we talked about, early on, we gave you information that says that the South African courses generally run around the $1,000 per course, whereas the U.K. and U.S. courses are somewhere in the $2,500 to $3,000 per course. So, I think as you can imagine, as they launch more of the non-South African business might that's going to drive up that average revenue per course.
Corey Greendale: Got it. I have a very big picture question, and I realize that you're - the whole post that's legislation, but much of to think that it would impact education, whether isn't the student interest or the lifetime learning credit or your University partners. Any early thoughts on what the impact to be on students or your partners, and therefore, on you from any of the changes proposed?
Christopher Paucek: So, Corey, from following us with regard to some of the more direct assertive potential regulations out there that affected that we even with those month what is discussed is versus what this into law, we could talk about this for hours. There's no clarity as to what's going to happen. 2U has existed now today in multiple administrations, multiple parts - different parties in different economies we are you got we the company at the worst possible economy in the history of University we are now in a better economy. So, if you like we are a bit cyclical, and if there's some impact in tax code that affect us, there's probably a good somewhere else that helps us. It's - it's too early to say.
Operator: And our next question comes from the line of Alex Paris of Barrington Research.
Alex Paris: Most of my questions have been asked and answered, but I have a couple of clarifying questions, if I may. So GetSmarter was a little over $5 million in gross revenue. If you did have that accounting anomaly, $4.3 million, if I did the math right, recognized revenue. And Cathy, I think you said that the expectation for GetSmarter in your guidance for fourth quarter is twice that. And I just want to make sure they have the right base, $4.3 million or a little over $5 million?
Catherine Graham: You do. What we had said previously in the last quarters about the distribution of revenue and are reinforcing here is that our - that expectation is that it will be more than twice the reported revenue.
Alex Paris: Got it. And then Chip, I think you mentioned that we should expect more GetSmarter partners announced before year-end. Should we expect - is this from the pipeline at GetSmarter that existed before acquisition or should we expect maybe a 2U university partner in there?
Christopher Paucek: Certainly, either are possible. But there's a lot out there with the pipeline team, super active. So, one of the things we said historically, now that by the way, public almost 4 years, right? So, we've been doing this for a lot of the public's is with any public market and we definitely said at one of the things for us is the slotting, which was one of the reasons I'm so proud of what's happened with the launch schedules, slotting them with consumers identify them or even doing the contract, but getting them actually up and running. There are many different factors, whether it be approvals, state approvals in some cases, faculty, bandwidth, there's a bunch of different reasons why something may or may not choose to go at a particular time. So, a little for me to tell you which exactly once they will be, but if somebody coming that I have no doubt there will be more between now and the end of the year.
Alex Paris: Okay, good. Thanks. And then if I have my numbers right, I think GetSmarter in 2016 have a roughly $18 million and looks like we have $12 million in the second half of this year, $12 million for the period of time that 2U owned it through the end of the year. And I guess, I could do the math, you gave in percentages. But are you presuming growth in GetSmarter on a pro forma basis if you had it for the full year 2017 and 2018?
Catherine Graham: Yes. So well, we're not giving guidance specifically on those 2 different segments certainly, given what we have told you, you can back into it and there is an expectation in which we implied last time, and will - so again, there is year-over-year growth in GetSmarter and that GetSmarter segments for 2017 over '16, though as we've told you, it is not significant growth because of the back of their take - back ending of the revenue needed to the entry incident sort of more than international space. So, you'll see much more acceleration in 2018.
Alex Paris: Great things. And I guess, last question, I think last quarter, you gave a backlog number, Cathy? Would you care to update that this quarter?
Christopher Paucek: Well I can before you there. I'm going to answered of answer the financial question. It's $341 million.
Alex Paris: $341 million?
Christopher Paucek: Yes, $341 million.
Operator: And our next question comes from the line of Kerry Rice with Needham.
Kerry Rice: Maybe just one on question or thoughts about the business. If you actually targeted 16 DGPs for 2019, should seeing any obstacles to say you get to 17, 18 more, so you have done little people, do you need to add some infrastructure, is there any capacity, I guess, constraints above - to get above 16, is the first question. And a couple of housekeeping questions for Cathy. The lifetime value, the total cost ratio, if you don't mind giving that out. And I think that this - the backlog question was asked.
Christopher Paucek: So, I would say is obviously, if we do substantially above 16, of course, we would have to add. The people that are in the room may kill me if I did actually answer that right away. So of course, he would have to. As a matter - the different levels would require different levels of investment. But I can't really give you a blanking answer is we would know how many. I will tell you the margin flat year-on-year is indicative of the scaling in our continued investment scale is a story of growth and we're growing. So, we're putting our but and the gas with regard to the growth engine we have. But going above that 16 go just - we're just not there yet.
Catherine Graham: And as far as the LTR to TCA number, or ratio, it was 3 for the third quarter. You know our target is sort of at that 3.21 when we sort of run in the high 2 to 3.2, depending on where we are in investing for growth of new programs. But that is a little bit higher that it did last quarter or so.
Christopher Paucek: It's going up in the last couple of quarters.
Operator: Our next question comes from the line of Jeff Silber from BMO Capital Markets.
Henry Chien: It's Henry Chien calling in for Jeff. Just a question on sort of a follow-up to the prior one on your expenses in scaling. It seems like your margin expectations for 2018 are a little bit better than what do you had signaled earlier think just curious is where you're getting additional leverage on your expenses and just any thoughts around that?
Catherine Graham: Yes. So really in some ways, our margin improvement is coming out and margin expectations is really coming out of the fact that I think with up our revenue expectations a little bit. But largely, we are still expecting to be relatively flat in margins in the graduate programs business and not adding significant margin out of the short course business as we want to continue to invest in that, particularly as we drive course offerings throughout the year. While it is a shorter cycle, we'd really like to get a lot of new courses up and running during 2018. And even though it's a shorter investment, the return cycle in that short course business, when you start overlapping them, it still does require a period of investment.
Henry Chien: That's it. Okay. And for the short courses that are expected to be launched, will be announcing it similarly to how you do the graduate programs with the press release and just...
Christopher Paucek: No. We will be announcing courses. There's just too many of them. So, we will likely announce some things that we believe is important to you and material and we'll determine what those are at that time. But most likely, the partners.
Operator: And the last question is from Michael Tarkan with Compass Point.
Unidentified Analyst: This is actually [indiscernible] on for Mike. The first question, just sort of on the competitive front of you seen any change there? I know there was some gain over the Corsair just wondering what you're seeing there in terms of competitive environment?
Christopher Paucek: I would say we continue to feel very strongly about our leadership in the space. But if you like our and are indicative of that whether it's Vanderbilt or Now our seventh DGP at USC. We like where we are. I mean, we're certainly not taking it for granted. So, we are aware of what everybody else is doing in that space and for my competitive landscape standpoint, we just acquired the only company that I was worried about so that said something.
Unidentified Analyst: Okay, Just the J.D. vertical, has there been any update there? I know you had an initial partner pull out after a pushback from the ABI. And I think you said get somebody else in the works. Any update there?
Christopher Paucek: No update for you yet. We're working on it as matter of like now next week. General that's one of our General Counsel sitting next to me working on it. So, it's coming along.
Operator: Ladies and gentlemen, I would now like to turn the call back to for further remarks.
Christopher Paucek: Okay, thank you, operator. I'd like to give a quick shot to the moms of the earnings crew. We did the dads last time, we can't get leave out the mom. [indiscernible] Thanks, everybody. Talk to you out on the road.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a great day.